Operator: Greetings and welcome to the AmeraMex International Third Quarter Financial Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] Please note this conference is being recorded. It is now my pleasure to turn the conference over to your host, Marty Tullio. Please go ahead.
Marty Tullio: Yes, good morning everyone. Before we begin today’s call, it is important for everyone to understand that statements made in this conference call that relate to future financial results, market size or growth plans are forward-looking and involve certain risks and uncertainties associated with the demand for the company’s products and services and the development of markets for the company’s products and services. Actual results, events and performance may differ materially. Conference call participants are cautioned not to place undue reliance on these forward-looking statements, which speak only as of the date of this conference call. AmeraMex is not obligated to release publicly any revisions to these forward-looking statements as a result of unanticipated events after the date of today’s conference call. Now, I would like to turn the call over to Lee Hamre, CEO of AmeraMex. Good morning, Lee.
Lee Hamre: Good morning, Marty. Thank you everybody for joining us on the call. This is our third quarter conference call for the quarter ended September 30, 2019. With me today are our CFO, Hope Stone; board members, Brian Hamre, Mike Maloney, Jeff Morris and Marty Tullio. We've launched an investor awareness campaign this fall that will have us participating in investor conferences, web-based presentations and investor newsletters. A one page advertorial will be featured later this month on MicroCap Review and distributed by USPS at upcoming financial conferences to market makers and to investment banks and via email and digital magazine all posted on stocknewsnow.com, microcapreview.com and a variety of social medias. We will be presenting at the LD Micro Conference in Los Angeles, December 10, and then in the Planet MicroCap Showcase in April 21, 22 and 23 at Bally's, Las Vegas; and are currently pursuing an additional conference in the February, March timeframe. We will disseminate news releases regarding these conferences prior to attending. I would like to turn the call over to our CFO, Hope Stone, so that she can provide an overview of our financial statements for the third quarter.
Hope Stone: Thanks, Lee. Good morning everyone. Before I begin, I want to remind everyone that financials for the comparable 2018 period may have changed subject to adjustments that were made during the SEC audit process. Third quarter and nine months financial overview for the period ending September 30, 2019, revenue was $3.2 million for the third quarter, an increase of 27% when compared to revenue of $2.6 million for the third quarter 2018. Revenue for the nine month period was $11.2 million, a 44% increase when compared to revenue of $7.7 million for the 2018 period. Gross profit for the quarter as a percentage of revenue was 37%. Gross profit as a percentage of revenue for the nine month period was 22%. Profit margins were down for the nine month period due to increased sales of new equipment this year. Income from operations for the quarter was $806,287, an increase of 80% when compared to income of $445, 845 for the comparable 2018 quarters. Net income for the quarter was $513,626, an increase of 87% when compared to net income of $274,137 for 2018. Net income for the nine month period was $255,040 compared to $741, 582 for the nine month 2018 period. Net income was down significantly from the period because of a onetime charge in the second quarter of $566,000 and this charge was for the early extinguishment of debt. I would like to turn the call back to Lee.
Lee Hamre: Thank you, Hope. Our core business update in the second quarter [indiscernible] just 21 used container handlers and miscellaneous dock equipment from the port of Seattle and we spend about $1.1 million to buy all this equipment. We sold three of the container handlers and a couple of yard trucks for $0.5 million during the second quarter and continued to refurbish the remainder of the equipment. Currently, we're working on an opportunity to sell an additional eight to nine of these refurbished handlers. There are no guarantees that all this business will happen, but it looks very promising and would be quite a coup. By buying the large quantity we bought and being able to move them off the pier quickly. We've got a very good price on them, which makes it much more competitive in the marketplace once we get them into our control. For the third quarter, we announced sales of $3.2 million, which turn into revenue when the equipment ships. Our revenue for the nine month period was up 44%, and we have surpassed 2018 revenue by over $1 million. We look forward to 2019 being our second highest revenue year since 2008. Although we had a onetime charge for over $0.5 million and a higher percentage of new equipment, which negatively affected our net income for the nine month period, we are still profitable for the year and look forward to a profitable fourth quarter this year. And also you understand the negative to new equipment is our profit margins are considerably lower when we're marketing new equipment, but we continue to want to do that because it keeps us connected with all the customers, so we can buy the used equipment, which is where the profit is made or get used equipment and refurbish it, paint it, new tires, rebuild motors and transmissions and we can sell those used machines for a considerably higher margin, which is why our numbers look good on the used and not quite so good on the new. We are excited about our prospects as we've finished remainder of the year and look forward to 2020 being an outstanding year. Also, operator, we'd like to begin the Q&A.
Operator: At this time we will be conducting a question-and-answer session. [Operator Instructions] Our first question comes from Jeff Smith.
Jeff Smith: Hello?
Lee Hamre: Yes, good morning.
Jeff Smith: Hey, good morning, Lee. How are you?
Lee Hamre: I'm doing okay.
Jeff Smith: Good. Good. So I was listening to, there was a podcast and they were talking recently about the stock price and you were saying that it was currently very undervalued becoming $10 million market cap. Considering that it is what I think also a low market cap. Would you guys consider initiating a share buyback since – I'm sure you would consider $0.10 stock of your company a good deal right now and consider it a good investment for the company itself?
Lee Hamre: Are you asking if I would buy stock back at $0.10 cents a share?
Jeff Smith: Sorry, sorry, my mistake, $0.01.
Lee Hamre: Well, it's something that we may entertain, but we – coming out of the recession that we've been and we've had three or four pretty good years. We're getting back on top of everything and we're putting as much inventory as in as we can, so the money really goes back out in the inventory that we can turn for a profit. We don't have a bunch of cash laying around. That's something that I would consider when we get a little stronger for sure.
Jeff Smith: Okay.
Lee Hamre: And the stock is at a higher price and we would pay a higher price than that.
Jeff Smith: Okay. Thank you.
Lee Hamre: Okay. You bet.
Operator: [Operator Instructions]
Operator: There are no further questions at this time. I would like to turn the floor over to Lee for closing remarks.
Lee Hamre: I would like to thank all of you for participating in the call and for your continued support. We look forward to speaking with you when we report financial results for the year end.
Operator: Thank you. This concludes today's conference. You may disconnect your lines at this time and thank you for your participation.